Operator: Greetings and welcome to Array Technologies' Third Quarter 2023 Earnings Call. At this time, all participants are in a listen-only mode. A question-and-answer session will follow the formal presentation. As a reminder, this conference is being recorded. It is now my pleasure to introduce you host, Cody Mueller, Investor Relations at Array. Please go ahead.
Cody Mueller: Good evening and thank you for joining us on today's conference call to discuss Array Technologies' third quarter 2023 results. Slides for today's presentation are available on the Investor Relations section of our website, arraytechinc.com. During this conference call, management will make forward-looking statements based on current expectations and assumptions, which are subject to risks and uncertainties. Actual results could differ materially from our forward-looking statements if any of our key assumptions are incorrect. We identify the principal risks and uncertainties that may affect our performance in our reports and filings with the Securities and Exchange Commission, which can also be found on our Investor Relations website. We do not undertake any duty to update any forward-looking statements. Today's presentation also includes references to non-GAAP financial measures. You should refer to the information contained in the company's third quarter press release for definitional information and reconciliations of historical non-GAAP measures to the comparable GAAP financial measures. With that, let me turn the call over to Kevin Hostetler, Array Technologies' Chief Executive Officer.
Kevin Hostetler: Thanks Cody and welcome everyone. In addition to Cody, I'm also joined by Nipul Patel, our Chief Financial Officer. Before I start with the discussion on the quarter, I would like to first discuss our transition into CFO positioned that we announced earlier today. Starting on November 13th, Kurt Wood will take over as the CFO of Array Technologies replacing Nipul Patel. We are grateful that Nipul has agreed to stay on board in an advisory role until the end of the year to ensure that we have a smooth transition. I would like to thank Nipul for his instrumental role in the success of Array, from leading the company through the IPO to being a driving force, behind the gross margin recovery and the improvements in our cash and liquid position, we certainly would not be where we are today without Nipul. Entire team at Array wishes him the best in his future endeavors. I am also extremely pleased to welcome Kurt Wood on board. Kurt brings an incredibly strong finance and operational background to Array that will be invaluable to us as we continue to grow and mature as a company. With that, let's move to Slide 3 where I'll provide some highlights from the quarter. Array once again delivered a strong performance against all of our key metrics. For the quarter, we delivered $350 million in revenue, which was in line with our expectations, and as Nipul will discuss more later, is inclusive of a roughly $20 million reduction for year-to-date reclassification of Brazilian ICMS tax incentives. This quarter, we also continued to over-deliver on our gross margin expectations, reporting 26% on an adjusted basis, which combined with an increased expectation for Q4, has raised our full year outlook on gross margins once again. It's important to point out this result does not include any benefit from the IRA's 45X manufacturing credits. On the strength of our margin performance, we recorded adjusted EBITDA of $57.4 million, which represented 16.4% of sales, an increase of 560 basis points from the same quarter last year. I'm also happy to note that we delivered $69 million in free cash flow this quarter, bringing our year-to-date total to $126 million, which keeps us well on pace to our previously stated target of delivering between $150 million and $200 million of free cash flow in 2023. In the quarter, we also made a $50 million prepayment of our term loan, bringing the total principal balance down to $239 million. Finally, this quarter, I'll only spend a short amount of time talking about the overall demand landscape as not much has changed since last quarter. As shown by our reduced revenue outlook, we have continued to be impacted by short-term project timing challenges that are outside of our control. For instance, this quarter, we had several projects that experienced delays associated with financing as developers are focused on renegotiating PPA rate to improve project returns in this higher interest rate environment. While we fully expect financing and continued delays related to permitting and other items to be sorted out in the near-term. This is yet another complexity that we are working to understand with our customers. However, it's important to note that we have continued to execute on elements that we can control and have largely maintained our profitability and free cash flow expectations for the full year. As we look past some of these short-term project timing issues, I remain optimistic about the direction of our industry. Remember, solar accounted for over 50% of all new electrical generating capacity added to the US grid at the start of this year, and there is no reason to believe this will slow down. It still represents the cheapest and fastest form of new energy generation. Also, utility scale solar is not facing any structural demand weakness or destocking issues. Add to that, the fact that the tracker market is poised to well outpace the strong overall projected utility scale solar growth over the next few years, and we still have many more tailwinds in this industry than headwinds. So, while our bookings number this quarter was still reflective of these near-term dynamics, we are seeing lots of positive proof points on the longer term outlook, which align with these trends. For example, we have seen our domestic project pipeline double from June 30th to September 30th. This is a strong sign of the health of our demand overall, but also showcases the traction our new product offerings are gaining with our customers. As we already have multiple gigawatts of quoting activity on both the H250 and the OmniTrack. Also, we're pleased to note that we have recently signed three long-term agreements, which collectively will represent multiple gigawatts in future projects. All of these agreements included deposits tied to dedicated capacity and represent programs that initiate in the second quarter of 2024 beyond. And finally, of the $320 million of IRA-related projects that were on hold at June 30th, we only saw $35 million convert to orders this quarter, which leaves almost $300 million still sitting on the sidelines. This means we have not yet unlocked anywhere near the full value of those projects into our order book. So, while we will obviously wait until our fourth quarter call to provide a more detailed discussion about 2024, I am encouraged by the positive indications we have been seeing. If we turn to the next slide, this quarter, I wanted to give a brief update on two exciting business developments. Last week, we announced our plans to expand our operations in Albuquerque by leasing a brand new built to spec 216,000 square foot manufacturing campus. This expansion is exciting as it reinforces our longstanding relationship with the community, but also will give us the space to drive even more operational improvements and domestic manufacturing flexibility. We are appreciative of our partners in the state of New Mexico, and we look forward to updating you more the progress of our new facility as we move forward. Next, building upon what I discussed last quarter on non-tracker revenue streams, Last week, we also announced the rollout of our services and training offerings. These offerings include commissioning, preparation and process training, installation training with the Golden Row, operations and maintenance, and page turn best practices. While these offerings will be a small portion of our revenue initially, we do see a path for these services to become a larger part of our business over time and will positively contribute to our overall gross margin. Each of these value-added services are designed to reduce operational downtime and increased productivity, while improving our customer's overall experience with each of Array's product platforms. To support these offerings, we have also expanded our customer and product support teams over the last year, which has included hiring of directors services, product management, and training and development. While we remain early in our journey on the expansion of non-tracker offerings, elements like these trading offerings have already helped to increase our margin expectations for the full year, as Nipul will now discuss in more detail along with a further analysis of the quarter. Nipul?
Nipul Patel: Thanks Kevin and I appreciate the kind words. After nearly a five year run of turning a privately held company into a successful public company listed on NASDAQ, it is the right time for me to step down as the CFO. I'm grateful for the opportunity to have worked alongside such as collaborative and talented team. I thank Kevin for his leadership and for supporting my career growth and I believe Array is well-positioned strategically and financially to continue its growth and drive value for our customers and shareholders. I'm highly confident in Array's leadership and future, and I look forward to working with my successor, Kurt, on a smooth transition in the upcoming months. I'd also like to thank the employees at Array for their hard work and support over the years. It has been an honor working alongside them. That being said, let's get into a summary of our third quarter financials. Please turn to Slide 6. In the third quarter, we reported revenue of $350.4 million compared to $515 million for the prior year period. It's important to note that our third quarter revenue excluded the impact of a $20.1 million Brazil value-added tax or ICMS that was reclassified from revenue to cost of revenue. This reclassification was determined to be appropriate after we evaluate the expected treatment of governmental incentives for the 45X manufacturing credit under the Inflation Reduction Act, but has no impact to profitability or cash flow. The comparable amount in the prior year was $8.2 million and was not reclassified out of revenue. Our reported $350 million in revenue reflects roughly $245 million from the Legacy Array segment and $106 million from the STI segment. This result was driven by both a 22% decrease in the total number of megawatts shipped from 4.4 gigawatts to 3.4 gigawatts and a 12% decline in ASP from $0.116 per watt to $0.102 per watt. As communicated last quarter, this was an expected volume decline and change in project timing year-over-year given the scale of project push outs we've seen due to the various macroeconomic elements at play. Additionally, the ASP decline was also anticipating given the reduction in steel, aluminum, and logistics costs year-over-year. This quarter, we introduced adjusted gross profit and margin as a new non-GAAP metric following the reclassification of our developed technology amortization expense from operating expenses to cost of revenue. We believe this reclassification aligns the presentation of our financials more broadly with industry peers and this change did not affect operating income, net income, or earnings per share for any current or historical periods. That said, adjusted gross profit increased to $91 million from $82.4 million in the prior year period due to improved gross margin despite the reduction in volume. Gross margin increased to 26% from 16% on an adjusted basis. Adjusted gross margin was 25.3% for the Legacy Array business and 27.6% for the STI business in the quarter. We are pleased to see our margin performance continue to benefit from our operational improvements and focused on our non-tracker revenue opportunities. Operating expenses of $47.2 million were down $12.2 million from $59.4 million during the same period in the previous year. However, we had a $12 million improvement in amortization expense year-over-year due to lower amortization of intangible assets related to the acquisition of STI. Excluding this impact, our operating expenses are roughly flat year-over-year. Net income attributable to common shareholders was $10.1 million compared to $28.4 million during the same period in the prior year. And basic and diluted income per share was $0.07 compared to basic and diluted income per share of $0.19 during the same period in the prior year. This decline year-over-year was largely due to a $43 million legal settlement we received in the third quarter of 2022. Adjusted EBITDA increased to $57.4 million compared to $55.4 million for the prior year period. Adjusted net income increased to $31.4 million compared to adjusted net income of $28.9 million during the same period in the prior year and adjusted basic and diluted net income per share was $0.21 compared to adjusted basic and diluted net income per share of $0.19 during the same period in the prior for the same period in the prior year. Finally, our free cash flow for the period was $69.4 million versus $102 million for the same period in the prior year. On a year-to-date basis, our free cash flow of $126.4 million represented a 238% year-over-year increase. Now, I'd like to go to Slide 7 where I will discuss our updated outlook for 2023. For the full year 2023, we now expect revenue to be in the range of $1.525 billion to $1.575 billion. This update to our topline guidance was driven by three factors. First, the ICMS reclassification, which will reduce our outlook by approximately $25 million. Second, we had four projects that were delayed due to developer financing challenges. While we fully expect these challenges to be alleviated in the near future, we no longer can count on the deliveries to occur in 2023. And third, we had several projects with permitting delays in Spain, which we now expect to deliver in the beginning of 2024. However, as a testament to our continued operational improvement and our focus on high-margin non-tracker offerings, we are largely holding our adjusted EBITDA and adjusted EPS guidance as we have increased our gross margin outlook to be in the mid to high 20s for both segments. We now expect to be in the range of $280 million to $290 million for adjusted EBITDA and $1 and $1.05 adjusted EPS. Important to note, these changes do not reflect any assumed benefits from the 45X manufacturing credits. Although we are actively finalizing with our suppliers and will provide an update to the market, when final 45X guidance is provided, or once we complete the agreements with our suppliers and have ensured proper recognition on timing under US GAAP. Finally, with the improvement in our adjusted EBITDA margin, we are well on track to deliver our previously provided free cash flow guidance of between $150 million and $200 million for the full year as Kevin mentioned. Now, I'll turn it back over to Kevin for some closing remarks.
Kevin Hostetler: Thank you, Nipul. I am pleased with our performance this quarter as we once again delivered better than anticipated earnings. We continue to work hard on improving our business and product and service offerings to ensure we delivered increasingly more value to our customers and we look forward to updating the market on even more exciting progress in this area in the near future. With that, operator, please open the line for questions.
Operator: Thank you sir. Ladies and gentlemen, we will now be conducting a question-and-answer session. [Operator Instructions] The first question we have comes from Mark Strouse from JPMorgan. Please go ahead. Please go ahead.
Mark Strouse: Yes. Good afternoon. Thank you very much for taking our questions. I wanted to start with the projects that have been delayed. So, just to be clear, these are delayed, you're not seeing any cancellations other than the Brazilian contract that you mentioned? And then anything on timing, what are you hearing from your customers? Is this kind of a matter of months, quarters? Is it just kind of indefinite until they, until they renegotiate?
Kevin Hostetler: Yes, Mark. This is Kevin. Good question. Thank you. So, we haven't seen any meaningful cancellations yet at all and what we are seeing is just these project delays and shifts. Quite often, it's really relative to these customers going out and trying to renegotiate PPAs prior to moving forward on projects. That's one of the biggest things we're seeing. And that's new and on top of the interconnect issues and panel availability issues that we've had for a couple of quarters now. So, what we're seeing in terms of delays is customers pushing out not two weeks or three weeks, but they're pushing out measured in months, three, four months at a time right now. And what they're trying to do is push it out. And then again, we get into the winter build season in North America. So, they're not pushing it out to January, February, they're pushing it out to March, April, at May at this point. That's kind of what we're experiencing. So, as expected, when we -- every quarter we look order-by-order, go through -- talk to the customers, ensure that that project is on, for example, for a December shipment. And what we're just experiencing now is on some of these, they're pushing out of this year and into the end of Q1 beginning of Q2 and that's really what we're experiencing.
Mark Strouse: Okay. And then just a follow-up. On the 45X split, or the IRA 45X, understand we're still waiting on the on the government here. But we were under the impression that there was better clarity that the industry was getting as far as kind of what the splits might be between the different participants within the value chain. Any update there that you can help us kind of quantify how to think about and how you've historically talked about keeping about a third or so of that, 45X credit? Thank you.
Kevin Hostetler: Yes. Another good question, Mark. So, I can only say that as usual, we won't negotiate against ourselves in public form, right? But I will tell you that while, historically, you've heard me say we think it's going to be a third, a third, a third, a third, what we're negotiating now in all cases is greater than half coming to Array. And I think that's a substantial upside to what we thought previously. So, I think we're going to continue to negotiate each of those contracts with vendors on an individual basis, but I think we're more optimistic than we were perhaps a few quarters ago.
Mark Strouse: Great. Okay. Thanks, Kevin. And thank you, Nipul, for all of your help since the IPO.
Nipul Patel: Thanks Mark.
Operator: Thank you. The next question we have comes from Julien Dumoulin-Smith of Bank of America. Please go ahead.
Julien Dumoulin-Smith: Hey, just want to come back to the delay question first and foremost. Just when you think about the shift in the backlog here or perhaps contemplated within that bucket, how do you think about this adding to the backlog versus, say, just adding novel projects, right? I mean, in theory, you should be seeing something of a bloat in the backlog? And then maybe the secondary the secondary question here is, as you said, perhaps, 2024 -- [Technical Difficulty] I was saying about 2024, should you expect to step up?
Kevin Hostetler: Step up in terms of volume, is that what you're asking?
Julien Dumoulin-Smith: Yes. I was saying on 2024, step up here, just how you think about, recovery, like, recognizing, these projects that are delayed? And then just why are we not seeing more of a bloat in the backlog? Kind of an expansion?
Kevin Hostetler: Yes. So, what we're seeing where we're seeing the bloat is really in what we call our pipeline, meaning -- and I think it's incredibly significant. It's the fastest growth in the pipeline that we've seen. And for our overall pipeline, that's stuff that's coming into the top of our funnel to double in one quarter, that's incredibly significant. What we're still seeing is that delay in getting them through the pipeline converted to orders. That's going to continue to be a delay until we have clarity around the IRA, for one aspect, because, again, our customers are not sure what we need to quote them, right? So, they're telling us -- so the pipeline is getting bigger because we need to be planning for demand scenarios. That conversion from that overall pipeline into our order book is elongated and delayed, simply because we don't know the rules yet. So, we have had a few customers say, listen, I get it. You don't do the rules. So, quote me a x percent of domestic content to the best of your knowledge and ability today because we need to give you an order to get moving. So, that's happened, but that's what we what we represent of that $320 million that was sitting on the sidelines waiting for IRA clarity. That's only happened to about $35 million of that. Where customers are saying, look, I've got to get an order out to you. Let's get going. Others are still waiting for that additional clarity. So, I think you're still going to see that -- we won't see that bloat up in the order book just yet until we have that clarity. You are going to see some customers need to go forward under a looser set of understanding, if you will, not fully defined.  So, I think we're going to see that through the end of the year. And then the second part of your question as it relates to 2024, I think some of these challenges are going to continue into 2024 for the entire industry. And I think if you recall, you can't just push and add more to the specific size in a given year because of labor constraints, interconnection constraints and things of that nature. So, I don't think it's as simple as adding all the push from this year onto next year plus the overall, what would have been viewed as the market growth rate of 20% to 30% percent CAGR previously. I think it's going to be a little bit more muted than that as we go forward into next year, still waiting for some of these things to get cleared up.
Julien Dumoulin-Smith: Got it. In the international backlog, you feel good at this point, just given the dynamics you described on the on the prepared remarks?
Kevin Hostetler: Yes. We feel really good about, Latin America. I feel good about Australia, good about, Europe. I think we feel pretty good. We've had a great level of growth as you've seen this year internationally, as we've really focused on working on those businesses and improving the quality of those businesses. So, we expect that to continue going forward.
Julien Dumoulin-Smith: Thank you. Excellent guys. Thank you.
Operator: Thank you. The next question we have comes from Donovan Schafer of Northland Capital Market. Please go ahead.
Donovan Schafer: Hey guys. Thanks for taking the questions. So, my first question on the project delays is, I guess, Kevin, you just hinted, the labor constraints and other things, but if, some of the projects that have been delayed, if they're able to ink a PPA, tomorrow or the next day, with your customers, it was around their customers and find the right price that allows them to proceed with the project. Can that dry -- like can that be pretty quickly converted into revenue, or would it even if that was something resolved, hypothetically tomorrow, would that, then that still take another quarter or something before it could flow through and have an impact?
Kevin Hostetler: You're correct. It'll still take a quarter of our standard lead time, right? So, what we're trying to be really mindful of us here is that we're not preordering and pre supposing all the stuff get gets cleaned up by a particular month, and therefore, over investing in our supply chain, right? So, we're being very mindful. We're communicating with these customers, literally on a daily basis, as some of them are going out for additional PPAs, we're truly having calls every other day to get an update from them on are they successful? And I could only say that in every case that I'm aware of that I could think of in these communications, they're confident that they're going to get that revised PPA, but they're just saying these are negotiations that that take longer than a couple of weeks, right? And the way one of the large developers put it to me is, but fundamentally, the end utilities that are purchasing this this energy, have previously made commitments to their customers and to their shareholders of hitting very particular targets in terms of a percentage of renewable energy. And we all know that the demand for energy is increasing. We all know that that a definitively lower carbon source of energy that customers are looking for. So, again, we feel really good about those fundamentals. And we feel good that they need this renewable energy. So, in all cases, we're hearing that they are having very favorable discussions in terms of renegotiating these PPAs. It's just a timing issue. And again, that's -- almost a verbatim quote from one of our large developers who's in this very position right now.
Donovan Schafer: Okay. And then as a follow-up, I know in this space, there can be very large projects, there can be a lot of lumpiness, kind of in this business in general. But I have to ask just because we have had some other equipment providers that serve the US Utility scale market, whether it's trackers or other kind of equipment as I showed some sequential improvement this quarter. And so do you think that comes down to just lumpiness and maybe kind of related if you can comment on it? Is it may be a case? Could we see something here, like, what we saw in Q1 where you were almost sort of being punish for having high domestic content and not like your if you're -- not high domestic content, you're not compromising on price, then maybe that leads to more customers kind of holding out again to get the next incremental piece of guidance. Are those any factors anything you can share there would be very helpful.
Kevin Hostetler: I think it's a consistent set of factors that we're seeing as we're really focused on that domestic content customers. Those are the same customers. And that's why we've identified the $300 million sitting on the sideline that we had hoped would have converted. But we all cannot control the pace with which the government is providing this level of clarity that's needed to go forward. We all had hoped it was hitting their previous deadline, which was October, but October, obviously, has come and gone without any clarity. And now they the latest update is that we may hear bits and pieces by the end of the year, but likely not the full story. And again, as I just alluded to, so what you have is you have a couple of customers asking for quotes with a lot of, I should say, leeway or liberty on our side is that, well, we could give you this at this price given this definition, but we're not going to guarantee that that'll be the final definition. And some of those customers are saying that's okay to me. I need to get going, right? But that's only -- of the $320 million, that's $35,000,000 only, right? So, it's a small percentage yet that are moving forward despite a lack of clarity, right? And again, I'd caution people to not think about bookings on a quarterly basis as you did in Q1, and then Q2, we had a great level of bookings that surprised to the upside significantly. That lumpiness and that seesaw, I think, is going to continue for a couple of quarters.
Operator: Thank you, sir. The next question we have comes from Tristan Richardson of Scotiabank. Please go ahead.
Tristan Richardson: Hi. Good evening, guys. Appreciate all the comments on what you're seeing in the market. Maybe if you could just help us out from an update on average project size either in the pipeline today, or at least in the backlog either from a megawatts perspective or even a dollar perspective?
Nipul Patel: Hey Tristan, its Nipul. On average in our order book and backlog, it's about a 150 megawatts.
Tristan Richardson: Great. That's helpful. And then and then maybe just, are there any other characteristics kind of where you're seeing this dynamic with respect to developers, is it for smaller projects, or larger projects that are perhaps a little bit more dependent on financing, et cetera? Is this just a -- or is this more broad based?
Kevin Hostetler: It is broad based. So, as you know, we do quite a bit of work in the C&I space as well. We believe we're the largest provider of trackers to the C&I space. And while we've been experiencing this, for now, a couple of quarters on the utility scale, we're also seeing it in the C&I space in the last quarter. It's really coming to light up the delays. So, I think it's something that's more broad based. And I don't think anyone's immune from this in the industry. So, if anyone out there is saying, look, this isn't happening to us at all, I don't believe that. It's consistent. I'm constantly on the phone with developers and our partners, and it's a consistent theme that I'm hearing in the marketplace. It's not an Array issue, to be clear.
Tristan Richardson: I appreciate it, Kevin. And thank you, Nipul. All the best.
Nipul Patel: Thanks Tristan.
Operator: Thank you. [Operator Instructions] The next question we have comes from Jordan Levy from Trust Securities. Please go ahead.
Jordan Levy: Afternoon all, and I would just echo everyone's comments Nipul. Thanks for everything. Maybe just to start sort of on -- I'm curious how all these dynamics in the market right now with the project delays and that sort of thing, if that's had any influence on what you're seeing from a landscape perspective and just a broader update there from what you're seeing?
Kevin Hostetler: No. There's nothing we're seeing that's different from a competitive landscape. What we saw earlier in the year was much more price aggression some of our competitors. I think that's abating somewhat now as we get into the back half. Outside of that, not really seeing any changes in in market dynamics are noteworthy.
Jordan Levy: Appreciate that. And then maybe just as it relates to the new product rollouts in 2024, how should we think about that in light of the IRA guidance? And is it beholden to kind of the same factors we're talking about for the broader order book?
Kevin Hostetler: New product development going into next year? Look, I'm -- one of the areas, I continue to be most excited about is the amount of effort that we've put into our accelerated new product development. We talked about a little bit on the last call, we still have several exciting announcements to make in terms of new products that come out, both in Q4 and then into next year. And I would just say, just stay tuned and let us get through our timing internally and we'll make those announcements as appropriate. But there are some exciting things going on here in Q4 yet and then again into next year.
Jordan Levy: Thanks so much for everything.
Kevin Hostetler: You're welcome, Jordan.
Operator: Thank you. The next question we have comes from Brian Lee of Goldman Sachs. Please go ahead.
Brian Lee: Hey, guys. Good afternoon. Thanks for taking the questions. Nipul, you will be missed. Pleasure working with you. Best of luck in your next venture. Brian, I guess, a question I had, and I apologize, I had to jump on late if you already covered this. A couple quarters ago, you mentioned $150 million being pushed from 2023 to 2024. At the midpoint, there's about another $150 million not quite coming out of the guidance revenue-wise. So, is it fair to assume, do you have visibility that that's roughly $300 million of revenue which has come out of this year is firmly in 2024? Do you have that visibility and timing commitment from these customers that you've seen slip into next year? Or is there some of that where you're having to go back and rewind the business or you're waiting to make sure that these customers are still going to move forward with their products? Just wondering how much of this is just timing versus some of this stuff actually maybe just moving out into the right and not going back.
Kevin Hostetler: Yes, Brian, I think that's a great question. And I'll tell you, it's 100% exclusively timing. We've not had project cancellations at this point. The bulk of these have slid to the right. But historically, if something would have slid to the right, it would have slid to the right weeks or maybe six weeks. What's happening now is they're sliding to the right certainly three months, four months. So, we do have visibility to these next year. As I said, none of them have been canceled. We're not renegotiating rates on these for our products. So, this is simply about getting financing, getting supply of panels, getting supply of labor, and or getting a revised PPA or connection date. That's what we're doing. But none of these products have been canceled.
Brian Lee: Fair enough. No, that clarification is super helpful. I guess the second question I have is just around, I know you alluded to it in a prior question, but maybe just diving into it a bit more, if you could elaborate. On a quarter-to-quarter basis, I know we shouldn't get too infatuated with the bookings number and sort of what the implied share as those are between you and other Tractor players in the space. But over the balance of this year, there's been a couple of push-ups for you all that maybe others in your peer group haven't been seeing. So, the natural question is, are there changes you're seeing in the competitive landscape market share-wise? Anything that is notable, just given this is a couple quarters here where you've had some issues around timing, whereas maybe some of your peers haven't had as much of that through the balance of this year?
Kevin Hostetler : I think there's a few things to think about. The first, what I'll tell you, is I think market share flexes from quarter-to-quarter quite a bit with the inclusion of one, two, or three projects when you're looking at the increasing size of the utility scale landscape here per project. So, that's certainly something. I think there's a secondary component, which really has to do with the percentage of business that's domestic, U.S.-based experiencing these, versus international. And we all recognize that we have a higher percentage of domestic revenue in our business than maybe some of our other public peer companies. So, if you were to sit here and talk about this in Q1 or Q2, you would have been looking at us and our publicly traded competitors and looking at us within a half of a percentage point of market share domestically, right? And I think that was indicative of a strong gain in 2022 for Array and a rapid loss of market share for one of our competitors. Right on the back of that, what we saw was some really aggressive pricing in the market and we chose to hold our discipline in price. And I think that still, in my gut, was the right decision to not dilute our value proposition, dilute our price. And I think that will serve us well in the maintaining of margins and hitting our margin aspirations as we finish this year and turn into 2024. So, outside of that, no different dynamics that really I want to talk about. I don't think there's any real changes. Look, as it relates to new product and software, every quarter one of us is one up in the other in a small percentage, back and forth, back and forth. And I think that's going to continue. We both are investing a lot in new product development, both in terms of our product portfolio as well as our software portfolio. So, I think you're going to continue to see that. And I think it's going to continue to be largely a few players controlling the bulk of the domestic market as we go forward. And we're certainly going to be at that table.
Brian Lee: Okay, makes sense. I'll pass it on, guys. Thanks a lot. Appreciate it.
Operator: Thank you. The next question we have comes from Colin Rusch from Oppenheimer. Please go ahead.
Colin Rusch: Thanks so much, guys. You know, with the new products in hand, can you talk about the competitive environment outside the US and just how intense it is at this point and how much progress you're making in terms of moving customers through the sales funnel?
Kevin Hostetler: Yes, I think that the difference outside of the US, again, none of the markets are monolithic. They're all very different. And the experience we're having in Brazil in terms of tremendous market share recovery and Australia is different than Europe. And the price points are radically different in each one of these regions. And I'd say the biggest focus for us is increasing our competitiveness by leveraging our global supply chain first. Second is taking our joint engineering organization and cost-reducing our product portfolio. As an example, as we rapidly launched the H250 for the US and, again, we'll initiate deliveries of that in January of 24, we quickly had such demand for that product for both the EU and LatAm region for that improved product line. And I don't think we gave the data on the call, but we've got over 6 gigawatts in various stages of quotes of that already on a global basis. And there's a significant amount of that that is outside the US. So that revised product platform is getting a lot of attention globally. And I think that's probably one of the biggest efforts we'll do to be more competitive internationally is the launching of that product on a global basis, the addition of the Array software on top of that product, and then leveraging the global supply chain to continue to cost-reduce and be more competitive on a price basis internationally. Those are the three levers that we're pulling, and we feel really good about our traction that we have thus far.
Colin Rusch: Perfect. Thanks so much. And then just in terms of how you execute against that and the spend levels on the R&D line, how are you expecting that to trend? You've been able to get some pretty significant operating leverage to date. Is there something you're going to need to spend in a meaningful way to deliver on? On all of those elements? Or are you going to be able to do that within a pretty reasonable budget similar to what you've been spending recently?
Kevin Hostetler: Yes, I think if you look at the uptick, I believe this year we were up circa 40% in terms of R&D as a percentage, and I think that's a more respectable level than what we were historically. And I think the team's going to deliver a phenomenal funnel of new product development for that spend. But I want to be absolutely clear on this. I think the use of our profit to generate more incremental new product development, I really believe in. And if the team continues to bring me great new product ideas that are vetted by both sales, product management, and the engineering organization, I'm going to continue to fund them, even if I have to increase that, right? Running an engineered products company, your new product development is one of the life bloods of your company. And we're going to continue to spend there, because I think the more we dive in and the more we open our eyes to what adjacencies we could get into with our products, we feel stronger and stronger about it. So we're going to continue to emphasize new product development. We'll be spending at least a similar amount next year, if not accelerated further.
Colin Rusch: Thanks so much, guys.
Operator: Thank you. Thank you. The next question we have comes from Joe Osha from Guggenheim Partners. Please go ahead.
Joe Osha: Hi. Thanks for taking my question. I hope you have some great plans. Just to return to the issue we've all been talking about, obviously, you've got developers going back and trying to open up and reopen PPAs -- PUCs don't always necessarily roll over. Sometimes they do things like, say, we'll give you half of it, go find the rest elsewhere. So I am just wondering how you feel about the issue of potentially some of these developers coming back to you next year and saying, no, we didn't get everything we wanted. We need you to reopen conversations on the contract and the price?
Kevin Hostetler: Yes, that's a great point. So clearly, what you're seeing is that as these developers over the last years have settled for a particular IRR and interest rates are rising, that IRR is no longer attractive when you could go put your money in a CD and get 5% today, right? So they're raising their hurdle rates, and they have two choices there, right? It's either go back and raise PPA, so they're de facto raising revenues, or the flip side of that is they've got to go and reduce costs. So are we having conversations with developers on how we could redesign sites to take costs out of those sites for those developers? We absolutely are. That would be a natural occurrence for us at this stage. So we are having those dialogues. I would say in some cases there are some pricing concessions on that, but again, thus far, we've been able to offset those with cost reductions. But certainly that's a natural dynamic that we could see as we go into next year, absolutely.
Joe Osha: And thank you. And just to follow up, I mean, obviously this is happening, but the fact that rates are high is not a surprise for anybody. Is the fact that this seems to be hitting now just a function of people getting their ducks in a row for the end of the year, or what? It's interesting to me that this appears to be occurring now when the rates environment has been with us for a while.
Kevin Hostetler: Yes, I agree. Absolutely. I 100% agree with you. The rate environment has been with us a while, so we're a little bit caught off guard that this is happening more now, more recently. But we've had conversations with developers who are simply raising their internal rates of return expectations given this environment. And obviously, where a lot of our customers are counting on the IRA benefits to support that, coupled with falling module prices, and then also the domestic content adder is the big piece that I think a lot are counting on to further move forward on some of these projects. And I think that's probably the incremental delay is that piece that we all expected.
Joe Osha: I'm sorry to belabor this, but you said something very interesting there I want to clarify. It's less, it sounds like, about bank financing being more expensive, since most of these guys have that locked in anyway. It's more about developer internal IRR hurdle rates. Is that what you're saying?
Kevin Hostetler: Well, yes, I think it's both. I think it's about one developer I spoke to about a week and a half ago who's challenged with this very dilemma. Right now, it's also about that developer being able to sell a project at a particular IRR in the future, given other interest rates and other investment alternatives, right?
Joe Osha: Thank you so much.
Operator: Thank you. The next question we have comes from Jon Windham from UBS. Please go ahead.
Jon Windham: Hey, thanks for taking the questions. I just want to talk about the adjustment in revenue. If we exclude the Brazil-related accounting classification, there's about $118 million pushed off in the next year. We're more or less maintaining the EBITDA guide, which means basically $21 million of EBITDA that's not being pushed out. So can you talk a little bit about what's driving the higher profitability and what you are shipping?
Nipul Patel: Yes. Hey, Jon. Its Nipul. So the higher profitability is continued favorability in logistics costs and material costs that we're seeing flow through for the balance of the year. We had a couple of projects we talked about that we're delivering in the back half of the year at the lower challenge margins, especially overseas. Those have been a little bit delayed, and so therefore that's helped with the pricing, helped with the overall margins. But that's the reason why we're keeping the mid to high teens gross margins for the full year.
Jon Windham: Got it. And maybe just a quick follow-up. How much of the project delays do you see as a function of customer selection, or is it a bit more random and certain developers have certain problems with projects? Is there anything you could do due diligence-wise to try to lessen these in the future? Thanks for taking the time.
Kevin Hostetler: No, there's nothing I could think of that we would do differently. No.
Operator: Thank you. The next question we have comes from Tom Curran from Seaport Global Securities. Please go ahead.
Tom Curran : Hi. Thanks for taking my question. Would you share what non-tracker offerings accounted for as a percentage of 3Q's top line, and maybe give us an estimate or range for their likely contribution to full year 2023 revenue? And then I guess part two on this topic would be, as I think about the non-tracker side, it seems to consist of four drivers, aftermarket sales, engineering services, smart track monetization, and then better change order capture. Perhaps would you provide us an update on the progress you're making with each?
Kevin Hostetler: No, Tom. Sorry. I think it's too premature. We've been at it for a few quarters. It's still going to be lumpy. I think we're going to end the year very pleased with our overall revenues in that space because, again, it's been a high quality of revenue for us, but we're not at this point ready to go and delineate by subsegment or to give you a forecast for the full year 2023.
Tom Curran : Okay. I'll try. Kevin, could you perhaps maybe just highlight within those four subsegments as I'm categorizing them, are there any that are clearly in the lead right now or that you're more optimistic about or making more progress with faster than others?
Kevin Hostetler: Look, I think they're all contributing at a really exciting rate for us. If I think about smart track software, for example, what's in the order book is five times what's been deployed to date, right? So that's an exciting piece for us. The better change order management is really about taking what were profit leaks historically and converting them into positive both revenue and margin. And that's going really, really well for us. And it's really about just having the discipline to, as we get changes, to ensure that we're monetizing those changes. And this is about making sure we're balanced and fair with our customers. But again, if we have to take back material or dispose of something, that we're doing that in a more effective way than maybe historically where we may have played too much of a nice guy in the middle, if you will. We're doing that. The engineering services are going very well for us. So I think every single one of them are beginning to contribute. But to be clear, what's driving it is really the fact that we brought in product management. We decided to productize each of those, which meant clearly delineated value propositions, sales literature, content, value selling, training for the sales team, ensuring that they're quotable up front in the project, going back and looking at how we harvest our installed base, and look at some of the additional O&M services we could do after that. It is a really comprehensive amount of work that's been done over the last six months to drive that. And I'm just really pleased with the level of traction that we're getting on all that. And again, it's a good quality revenue for us as we go forward.
Tom Curran : Got it. That was some helpful color. And then, Nipul, best of luck. And just as you prepare to pass the baton here, would you refresh us on what was your leverage target as part of the ongoing debt reduction? What were you hoping to get to?
Nipul Patel : Yes. It was in the secured leverage is going to be under one by the end of the year, and the total debt was going to be around 2 to 2.5.
Tom Curran : Got it. Thanks.
Kevin Hostetler: Very much on pace for that. We're very pleased with the cash flow of the business at this point.
Operator: Thank you, Tom. The next question we have comes from Philip Shen of ROTH MKM. Please go ahead.
Philip Shen : Hi, all. Thanks for taking my questions. I'm jumping on a bit late here. Nipul, it's been great working with you. Sorry to see you go. I know this may have been addressed from some angles, but wanted to just see if you could talk about any patterns you're seeing for the pushouts, meaning are you seeing any similarities with the developers? Or are they smaller ones? Are the utility developers typically not impacted? Or have you seen delayed projects even from the larger utility developers? Are there any other patterns as it relates to access to capital? I know you were talking earlier, Kevin, about just making internal decisions requiring a higher return, but just curious if you could see or share any patterns with these customers. Thanks.
Kevin Hostetler: Phil, it's nothing that we're willing to give any additional color on at this point. I think it's suffice to say, it's been actually fairly broad-based. I don't think there's been any customer subsegment that's been immune to it at this point. I'll leave it at that.
Philip Shen : Yes, that is a great color, so thank you. Shifting to the implied Q4 EBITDA margin, was wondering -- you may have touched on this earlier as well with international being maybe a bit of a drag, but was wondering if you could give us some more color on the implied Q4 EBITDA margin, which seems closer to 13% versus Q3 of 16% in the first half of 20. What's driving that, and would you expect a recovery back to either 16% or even 20% in the first half of next year? Thanks.
Nipul Patel : Yes. Hey, Bill, I'll take that one. So the implied EBITDA margins really related to the gross margins that we talked about. We had some projects that were going to deliver in the back half of this year, finish up the projects in the U.S. from our STI division there that were going to finish up, and they were lower than our expected margin rate. And we had a project or two related to the Array side, which we had signed a while ago that we knew that was going to be a little bit challenging on the margins. So similar to what we had said in Q2, those will still deliver here in Q4, providing the lower than expected gross margins, and therefore dropping down to the EBITDA margins.
Philip Shen : Great. Thanks. And so I know you don't have guidance for the first half of next year, but would it be fair to presume that after these projects are taken care of, we get back to the normalized, call it 16% to 20%?
Nipul Patel : That would be our expectations, yes.
Philip Shen : Okay. Thank you very much. I'll pass it on.
Operator: Thank you. The final question we have comes from Sean Milligan from Janney. Please go ahead.
Sean Milligan : Hey, thank you for fitting me in this afternoon. Just wanted to touch base on the new products, H250. I think you quoted over 6 gigawatts in various, like, bidding stages globally, and then OmniTrack also, I guess for both of those, you talked about pretty robust bidding. Curious, in terms of, one, do you view that as an incremental opportunity for you relative to, like, where you would have bid DuraTrack before? Just kind of maybe could you address, like, what the TAM is for that in terms of gigawatts? And then two, like, are those bids for 2024, 2025? How should we think about that?
Kevin Hostetler: So, the first part of your question relative to, I think you're asking how much of its incremental versus replacement or cannibalization. If you think about the Array OmniTrack, we expect that to be a part cannibalization of DuraTrack in a better fit product, but also lead to about a 10% increment in TAM. So, that's kind of how we look at it from that product. As it relates to the H250 and the strong bookings that we're seeing there, or the strong funnel, if you will, that we're seeing there, there's a portion of that that is replacing the old STI 250 where customers are just now saying, look, I really want that new product. I would have given Array the order previously for the old version, but I really want that. I was just recently in Brazil where I was in the room where we were talking to a customer that was placing a very large order who demanded that they get all new product as quickly as possible, right? So, I think a portion of that will be incremental and a portion of that will be replacement, but I will say that's replacement at accretive margins to the product that's displacing. Hopefully that's helpful.
Sean Milligan : That's helpful. And then kind of the second part would just be in terms of the bidding that you talked about in the 6 gigawatts, is that for 2024, 2025, how can we think about that in terms of timing potential?
Kevin Hostetler: I think it's split. There's at least half of it that I would say is really about 2024, and then there's another large multi-year VCA, if you will, that would cover two years. That's a big portion of that 6 gigawatts as well. I would say it's largely 2024 with a portion of 2025.
Sean Milligan : Okay. And then just to, in the first response, you mentioned kind of the margins being accretive to the legacy product on 250. Are they in line with, like, corporate margins where you'd expect to see those shake out?
Kevin Hostetler: Yes. I mean, what you've seen, if you just look at the gross margins of the STI business, and certainly in this quarter, we've been focused on the recovery of the STI gross margins. I think that focus over the last year has gone very well. They are back to pre-acquisition gross margin levels. So we're quite excited about that. And as we launch the new product, that's, again, a product with really good gross margins for us as we go forward. So I think we're quite satisfied there.
Sean Milligan : Okay. Thank you for fitting me in this afternoon.
Kevin Hostetler: Absolutely, Sean.
Operator: Thank you. Ladies and gentlemen, there are no further questions at this time. This concludes today's conference call. You may now disconnect your lines. Thank you for your participation.